Operator: Good day and welcome to the Coca-Cola European Partners First Half 2017 Conference Call. At the request of Coca-Cola European Partners, this conference is being recorded for instant replay purposes. At this time, I'd like to turn the conference over to Mr. Thor Erickson, Vice President of Investor Relations. Please go ahead, sir.
Thor Erickson - Coca-Cola European Partners Plc: Thank you, and thanks to everyone for being on our call today. We appreciate your interest and for joining us to discuss our second quarter and first half 2017 results, as well as our outlook for the 2017. Before we begin, I'd like to remind you of our cautionary statements. This call will contain forward-looking management comments and other statements reflecting our outlook for future periods. These comments should be considered in conjunction with the cautionary language contained in this morning's release, as well as the detailed cautionary statements found in reports filed with the UK, U.S., Dutch, and Spanish authorities. A copy of this information is available on our website at www.ccep.com. Today's prepared remarks will be made by Damian Gammell, our CEO; and Nik Jhangiani, our CFO. Following these prepared remarks, we'll open the call for your questions. In order to give as many people as possible the opportunity to ask questions, please limit yourself to one question and we'll take follow-up questions if time permits. Now, I'll turn the call over to Damian Gammell.
Damian Paul Gammell - Coca-Cola European Partners Plc: Thank you, Thor, and good morning, good afternoon, everybody and again I'd like to add my appreciation for you taking the time to join us to discuss our second quarter results and our outlook for the full year. As you're all aware, in May, we celebrated our first year as Coca-Cola European Partners and needless to say as we've talked about on previous calls it's been a busy first 12 months, but we are very encouraged by the strong progress that has been made to-date. Value creation remains at the heart of our strategic rationale for combining three businesses to create CCEP. And as you will hear today, we continue to see the benefits come through as a result of the transaction. This is clearly reflected in our first half results, where we've reported a 21.5% increase in diluted earnings per share on a comparable and currency neutral basis. Revenue for the first half was up 5% with volume growth of 3%, resulting in operating profits up 17%. All of the above are on a comparable and currency neutral basis. As a reminder, these growth numbers represent the combined performance of each of our territories, as if CCEP had existed throughout the entire first half of 2016. The second quarter was our fourth consecutive quarter of growth. During the second quarter, we achieved the revenue growth of 7.5% with both volume and revenue per unit case increases, reflecting ongoing brand and package innovation, strong execution, and notably benefits from favorable weather during most of the quarter. From a brand and volume perspective, our sparkling portfolio grew by 4% with a 3.5% increase in our Coca-Cola trademark brands. Within that, Coca-Cola Zero Sugar continued to perform extremely well, with growth of just over 20%. We're also pleased that we saw modest growth of Coca-Cola Classic of just under 1% in the second quarter. Across our flavor portfolio, we achieved excellent growth for Fanta, with volume up 8% benefiting from the launch of new packaging and marketing initiatives around the Fanta Twist bottle. Energy continues to do well, and was up 16% as we continue to execute our multi-brand strategy. Monster brands had another strong quarter benefiting from the recent launches of our sugar-free Ultra range and the new Lewis Hamilton 44 range. Our still brands grew 6.5% and this was driven by growth in sports drinks, water, and teas. Capri-Sun saw double-digit volume growth during the quarter. However, this was partially offset by a decline in other fruit and juice drinks given our focus on improving our price and mix across our dilutable business in GB. Water grew 5% and this was led by Aquabona and Chaudfontaine brands. Turning now just to share with you some more color around the revenue performance by territory, Iberia, our revenues were up 8.5% with solid growth coming from both volume and our revenue realization per case. This again was supported by the strong growth of Coca-Cola Zero Sugar as well as favorable channel and pack mix. Our German business grew revenue 7% benefiting from market share gains in energy and premium flavors, led by such brands as our VIO range as well as from the impact of pricing and promotional plan changes. I'm pleased that Great Britain had strong revenue growth of nearly 9% on a currency neutral basis with gains in both revenue per case and also volume. Again, like our Iberian and German businesses, it was driven by solid growth in the Coca-Cola trademark particularly Sugar Zero and then, also Fanta and energy. On a reported basis, Great Britain revenues were down 0.5% and as you're all aware that reflects a decline of the British pound versus the euro. In our French business, revenue was up 3.5% with strong volume growth and slightly negative revenue per case driven in part by solid results in the cold channel, including the impact from some new post mix business which we secured during the period. And finally, revenue on our North European territories was up 9%, led by Belgium, Luxembourg, the Netherlands and the inclusion of Iceland. This was offset by a decline in Norway, which was really driven by a range reduction in one of our large customers. During the quarter, we also continued to make important progress towards our stated goal of €315 million to €340 million in synergies by 2019. And I'm pleased to say, we remain firmly on track to achieve that target. We will continue to share best practices and work to improve our efficiency across all our functions and all our territories. Each of these factors contributed to the solid second quarter and first half results, with a combination of revenue per unit case and volume growth benefiting both our absolute revenue and our operating profit. Turning now to a revised 2017 outlook, given our results today, I'm pleased to say that we've increased our full year guidance for 2017. We now expect comparable and currency neutral diluted earnings per share to be in a 10% to 12% range, up from our previous guidance of a high single-digit range. Nik will discuss our financial results and the outlook in more detail shortly. While we are clearly pleased with our performance in the first half, we know we must continue to work hard to improve our long-term business growth outlook. Additionally, reaching our full year goals will require outstanding execution at the field level, and a continued focus on achieving our stated synergy objectives. We are confident in our approach, yet we always remain realistic about the marketplace and the environment. Having said that, we have plenty of exciting growth opportunities ahead of us. For example, we have continued our innovation, focus to our glacéau smartwater and Honest Tea expansion. We've seen the very successful launch of Royal Bliss in Spain and expansion of the VIO and Finley brands and the launch of Chaudfontaine Fusion flavors. From a package perspective, we continue to focus on more convenience-focused packaging, including the new Fanta Twist bottle, smaller can sizes and premium packaging such as our 200 ml returnable glass bottle. Importantly, our ability to seize future brand opportunities and to drive continued growth relies in our success in achieving even higher levels of service and execution for our customers. One area we are working on is to drive increased sales in single-serve beverages in away-from-home markets and in particularly through our cold distribution coolers. Sales force execution remains a core focus and we will continue to invest in new capabilities that will underpin increased efficiency and effectiveness for our frontline employees and for our customers. Overall, we are building brands, expanding our portfolio, increasing efficiency and making our operations more and more effective. Before I close, I wanted to draw your attention to our new GB sustainability packaging strategy that was launched last month. Our packaging is really valuable to us, and without it, our people and our consumers couldn't enjoy our drinks. We are continuing to innovate to ensure our packaging is as sustainable as possible, the first step of which is to double the amount of recycled plastic in every one of our bottles in GB over the next three years from the current 25% to 50% by 2020. We are in the process of developing an ambitious new sustainability plan for Western Europe, which will be released later in the year. So in closing, let me share some key thoughts. First, we are very encouraged by our fourth consecutive quarter growth and our revised guidance reflects a strong second quarter. We believe these results are a testament to our operating strategies and a commitment of our employees to succeed every day in the marketplace. That said, we still have a lot of work ahead to achieve our full year goals, as our prior year growth hurdles become much more difficult during the second half of 2017. Additionally, given what we've seen across our territories in July and early August, we do not anticipate the weather being a year-over-year positive factor in the third quarter. Further, we are on track to deliver our synergy objectives and continue to look for ways we can improve our longer-term business growth and achieve the full potential of our new company, CCEP. Second, we will continue to build on our solid strategic partnership with The Coca-Cola Company. Our two companies have shared goals on a clear and collaborative strategy for a sustainable long-term profitable growth in our markets. And finally, our commitment to driving growth in shareholder value, our most important priority, remains as strong as ever. As mentioned earlier, it has just been over one year since we created CCEP. Since then, we have had strong early results and we're encouraged by the opportunities we continue to see across the marketplace. That said, we're early in our journey and we will continue to look for ways to improve our growth platform and realize these long-term opportunities that lie ahead. Thank you very much for your time. I'll now turn the call over to Nik, who will share more detail on our financial results and our full year outlook. And I look forward to return for your questions later in the call. Nik?
Manik H. Jhangiani - Coca-Cola European Partners Plc: Thank you, Damian, and to each of you for taking the time to be with us today to discuss our second quarter and half year results and our outlook for the remainder of 2017. On a reported basis, second quarter diluted earnings per share was €0.61 or €0.67 on a comparable basis, up 22.5% in the second quarter. Currency translation reduced earnings per share by about €0.02. Key contributing factors in the quarter include the benefits of sales, marketing and brand initiatives, positive country mix, the timing of Easter and notably favorable weather. Revenue grew 7.5% on a comparable and currency neutral basis. This reflects revenue per case growth of 3% and volume growth of 4.5%. Second quarter cost of sales per unit case increased 2.5% on a comparable and currency neutral basis. So, while you have seen some modest cost inflation as noted in our first quarter earnings call in May, our second quarter benefited from some one-time favorable cost of sales items versus what we had in the first quarter. While this has impacted our quarterly year-on-year growth figures for COGS notably in the first half of 2016, we do not expect any material impact to the operating profit or full year growth figures for these one-time items. In the second quarter, operating expenses were up 3.5% on a comparable and currency neutral basis. This reflects the impact of volume growth partially offset by synergy benefits and a continued focus on managing operating expenses. These factors contributed to an operating profit growth of 18.5% on a comparable and currency neutral basis. During the quarter, we realized approximately €35 million in synergies. Excluding these synergies, operating profit growth was approximately 9% and ahead of our revenue growth. All in, including synergies, this resulted in an improvement of 130 basis points in our operating margin for the first half year. Clearly, our second quarter was a very good quarter and while we're pleased with the progress we're making, we acknowledge the favorable prior year growth hurdles, very favorable weather, and the late timing of Easter were all significant one-time contributors to our second quarter results, obviously, in addition to the other factors called out by Damian, including solid execution and innovation. Now, let's review our outlook for 2017. For the full year now, we have increased our outlook given the strong second quarter results. This reflects the benefits of favorable weather and our first half results and not an increase in our underlying second half growth outlook, where we do have more challenging comps to cycle. We now expect low single-digit revenue growth and operating profit growth at the top end of the previously stated range of high single-digit range. Additionally, for full year 2017, we now expect cost of sales per unit case to be up approximately 2% on a comparable and currency neutral basis. This increase versus our previous guidance of 1.5% is driven by year-over-year cost increases in key inputs principally concentrate, PET and aluminum, partially offset by benefits from our cost reduction programs. Given the strong second quarter revenue performance, we now expect a modest increase in our revenue per unit case for the full year and with our incidence model, this is expected to also increase our full year outlook for concentrate cost on a per unit case basis as I just alluded to, but this is all factored into the guidance that I provided. So, overall, while we've increased full year expectations for operating profit growth, excluding synergies, we now expect operating profit growth to be broadly in line with revenue growth for the full year. This slight change to our full year operating leverage expectation is driven by three key factors. First, while we still expect to see gross margin expansion for the full year, our outlook for revenue per unit case growth has increased less than our outlook for cost of sales per unit case. This has led to a slight decrease in our outlook (16:23) full year gross margin, which again to highlight will be growing for the full year versus 2016. Second, country mix. Our full year outlook now includes higher growth from some of the lower margin territories, when using prior year comparables. This is in contrast to the first half where our higher margin territories outperformed. And finally, some long-term investments. While pleased with our outlook for revenue growth, you recognize that this is benefiting from several of the one-off factors including weather and favorable comps that I just called out. Given this, we continue to consider opportunities to invest for the longer-term health of the business and to support revenue, growth and more importantly, profitable revenue growth for the future as well. For example, we're focused on driving a broader portfolio with more innovation, investing in our sales team and digital capabilities as well as strengthening (17:22) our single-serve and cold channel business as Damian talked about as well. Bringing all this together, we now expect diluted earnings per share growth of 10% to 12% for the full year on a comparable and currency neutral basis. At recent rates, currency translation would reduce 2017 full year diluted earnings per share by approximately 2%. We expect free cash flow at the high end of our previous range of €700 million to €800 million, including an expected benefit from working capital of at least €150 million. This free cash flow outlook is after the expected impact of restructuring, integration, and deal costs. This reflects the focus we put on core free cash flow generation, reducing our leverage, and our dedicated efforts to improve working capital. Capital expenditures are expected to be approximately €600 million, including approximately €100 million of capital expenditures related to the synergy capture. Weighted average cost of debt continues to be expected to be approximately 2%. The comparable tax rate for 2017 is expected to be approximately 25%. As Damian discussed, we remain on track to achieve pre-tax run rate savings of €315 million to €340 million from the synergy program by mid-2019. We have already achieved savings of approximately €95 million through the second quarter of 2017, which includes €60 million in the first half of 2017. We continue to expect to exit 2017 with run rate savings of approximately one-half of our total target. Given these factors, currency exchange rates, and our outlook for 2017, we continue to expect net debt to adjusted EBITDA for 2017 to be just under 3 times. Our outlook for cash costs to achieve the planned synergies remains at approximately 2.25 times the expected savings as we've previously stated. To close, let me highlight a few points. First, we remain committed to creating platform that will enable us to reach our full term long-term growth potential, including profitable revenue growth. Second, we remain on track to deliver our synergy objective with a pre-tax goal of €315 million to €340 million by mid-2019. And finally, we're pleased with the progress in our first year as CCEP, but there's still much work ahead of us to achieve our goals. Creating value remains our top priority and we remain confident as we continue on our journey that we have the growth opportunities, the right strategies and the best team in place to continue to succeed. These factors, combined with our consistent focus on cash generation, will support our most important goal, which is driving increased levels of shareowner value. Thanks for your time. And now Damian and I are happy to take your questions. Operator?
Operator: Thank you. Our first question is from Sanjeet Aujla with Credit Suisse. You may begin.
Sanjeet Aujla - Credit Suisse Securities (Europe) Ltd.: Hi, guys. Thanks for the question. Can you just help us break down the price mix between the various components; rate, country mix and product or cash free mix. And then can you just give us a sense of how much sales and marketing investments are increasing year-over-year? You alluded to that as part of the impact on operating leverage. And if you could just put (21:21) a little bit more color behind that. Thanks.
Damian Paul Gammell - Coca-Cola European Partners Plc: Thank you, Sanjeet. Just to maybe cover the first part of – we haven't broken out exactly the components of the mix improvement, but as we've talked about on previous calls, we're seeing benefits from absolute price, package mix and also in some markets, channel mix. So we have been very much focused on trying to leverage all elements of mix market-by-market, and in some markets, one of those may be slightly higher than in another, but all three are being playing the results (22:00) in the first half of 2017 and something that we want to remain focused on into the future. So no specifics, but you can assume that price, pack mix and channel mix, all play the role in the revenue numbers that we reported today and I'll let Nik deal with your question on the expense side.
Manik H. Jhangiani - Coca-Cola European Partners Plc: Sure. And just one other comment I would make, I think the warm weather clearly would help us in terms of a more favorable channel mix too in terms of what we'll see both in terms of cold and then more of the single-serve. So that's clearly factored in. But overall, you can see that we had roughly about half of the contribution from volume and half from price mix. From a perspective of investments, we don't necessarily break that out to indicate the absolute amount, but I think we are doing three or four different things. We're looking at obviously and we've talked about this a lot in terms of what we want to do behind our digital capabilities, as well as what we're doing from an execution perspective in terms of sales force. We are very focused on what we can do in terms of investing in the cold channel, which is clearly a big opportunity for us, and then we're continuing to look at opportunities in terms of route to market, et cetera. So I think more importantly, everything that we have put into the business for the first half year and more importantly what we continue to look at for the second half year, is built into those guidance numbers that we've provided.
Sanjeet Aujla - Credit Suisse Securities (Europe) Ltd.: Got it. Many thanks.
Operator: Thank you. Our next question comes from Stephen Powers with UBS. You may begin.
Stephen R. Powers - UBS Securities LLC: Great. Thanks, guys. Good afternoon. So, just to clarify, Nik, is what you said on gross margin that you still expect modest improvement on the year just slightly less than before, or are you saying that you expect that to be fully absorbed by the COGS per case increase, just want to clarify that real quick and then I have a follow-up.
Manik H. Jhangiani - Coca-Cola European Partners Plc: Yes. So, we still expect margin expansion probably at a slightly lower rate given what we're seeing from a COGS pressure perspective. So, keep in mind, you have two elements of our COGS that you have to keep in mind, as our revenue goes up with our incidence model, our concentrate price goes up as well. And that accounts for about 40% to 45% of our COGS. Then you've got the elements that are coming through from the perspective of mix, one, that has an impact and then the other piece is what we're seeing on some of the commodity pressures, PET and aluminum in particular is what I would say. So, having said all that, we still expect margin expansion probably slightly less than what we had expected before.
Stephen R. Powers - UBS Securities LLC: Okay. Perfect. And, if I – so taking that, and then I think about SG&A which is really where my question was starting from, should we expect kind of the same amounts in euro terms of SG&A spending in the second half versus the first half, as you're making your long-term investments? I mean historically, I think you've actually spent slightly less in the back half on SG&A...
Manik H. Jhangiani - Coca-Cola European Partners Plc: Yes.
Stephen R. Powers - UBS Securities LLC: ...but if gross margins are going to improve, it sounds like you're going to spend more this year, just want to clarify that.
Manik H. Jhangiani - Coca-Cola European Partners Plc: I would say that you're probably expecting a similar level, but there could be and we're still looking at some of these numbers to make sure that they are the right investments that we believe for the long-term. So, well, I would say roughly about the same level to slightly increased amounts in the second half for SG&A is what you should be trending towards.
Stephen R. Powers - UBS Securities LLC: Okay. Perfect. Thank you very much.
Operator: Thank you. Our next question comes from Lauren Lieberman with Barclays. You may begin.
Lauren Rae Lieberman - Barclays Capital, Inc.: Thanks. Good morning.
Damian Paul Gammell - Coca-Cola European Partners Plc: Good morning, Lauren.
Lauren Rae Lieberman - Barclays Capital, Inc.: First of all – great, or good afternoon, sorry. Little on Germany, in particular, that was one market where the comp wasn't quite as "easy" as it was in some of the other markets. So just a little bit more – and anything new that's happening there, channel versus rate, packaging initiatives, any kind of color you could share that would be great.
Damian Paul Gammell - Coca-Cola European Partners Plc: Yes, hi, Lauren. I mean we are obviously pleased with our performance in Germany and as we look at our performance, we're seeing it coming from both price mix and volume. On the price side, we're seeing price realization across all our channels in the first six months of the year. As we talked about in our Q1 call, we've also taken the decision to scale back on some of the really large multi-pack promotions like the 12 plus 2 and the 1 liter bottle. That's, obviously, helping in terms of price mix. And to just go back to what Nik talked about, obviously from a weather perspective in Germany, we've seen a benefit on some of our more profitable smaller packs and on sparkling and in particular, on our 33 returnable glass and that's also helped our price mix. So, strong volume, but encouraging for Germany, I'd have to say also very strong price mix which is something that we've been (27:04) very focused on and we'll remain focused on in the second half and through into 2018.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. All right, great. And then also if we could get an update just on tax, so first would be, in GB, looking at kind of the most recent period you'd have data for as a percentage of sales that are kind of falling below that threshold for exposure to sugar tax and then, early commentary on Catalonia and then I think Portuguese had a little bit more time, but just how the market response is then?
Damian Paul Gammell - Coca-Cola European Partners Plc: Yes. Obviously, in GB, we've continued our program with The Coke Company around reformulation and preparing our portfolio for April 2018. And as you've seen in our results, a lot of the brands that are driving our growth are coming from the sugar-free segment. So, that's pushing our percentage of our business above 40% today. Obviously, between now and April, we would like to see that accelerate, as we continue to – is to get ready for the sugar tax. So, that would leave us with, as we come out of the quarter, about 60% in sugar-free and 40% in sugar and we'll work on continue to evolve that with The Coke Company towards the end of the year, that will put us in good shape for April 2018. Our Portuguese business and the market in Portugal certainly had a very slow start to the year. I think we've talked about that in our Q1 results. We've seen that rebound quite well. So, that was probably about six weeks to eight weeks of dislocation in the marketplace, as consumers and customers adjusted to the new pricing. In Catalonia, it's probably a bit early to say, I mean that really went in May. We had a very strong performance in Spain generally as you saw from our results. So, a bit early to call, we've seen the tax being passed on to consumers. So, that has happened. But once we get a bit more color on any potential volume or transaction impact, we'd be able to share that, but it's probably a bit premature. And as also we came through a period, where we also enjoyed favorable weather and it was hard then to get a lead through on what's the net-net impact of that price change. But we'll share once we get a bit more clarity.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay, great. Thank you.
Operator: Thank you. Our next question comes from Ali Dibadj with Bernstein. You may begin.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Hey, guys. Two questions. The first one is on top line, I mean clearly we saw you deliver, we sort of got a sneak peek from when Coke reported some very strong revenue growth and you were kind enough to disaggregate by region and a little bit by product in the prepared remarks. But can I ask you to do the – kind of, arguably more difficult task, which is try to disaggregate it by kind of operational drivers. So how much do you think really was weather? I know it's hard, but how much was weather, how much was the compares like the reminisce (30:08) of GB supply chain issue? How much was new distribution or new point of sales? Because really trying to understand the implied lack of sustainability of top line growth for the rest of the year, because (30:26) effectively saying is (30:28) will be only about 1% to 2% sales growth. So, just if you can help us (30:35) as best as you guys think about it on the top line?
Damian Paul Gammell - Coca-Cola European Partners Plc: Hi, Ali. Yes, I mean, obviously we haven't gone into that communicating that level of breakup, but let me just share my perspective on it. As you pointed out, our full year guidance probably shapes best how we're thinking about the sustainability of the revenue growth. So we do expect to grow in the second half of the year. So that's the first point. So while there may be a slowdown relative to where we've been in Western Europe, we believe it's a fairly healthy guidance on top of two very strong quarters in 2016. So as we've talked about (31:20) also play a factor both in the first half results, because we had easier comps in Q1 and Q2. And we saw as we created CCEP in the middle of last year, we saw very strong Q3 2016 and Q4 2016. So, that's also factored in. So, we continue to be focused on growth. The comps are a little bit harder and we're not seeing anywhere near to whether (31:48) that we saw in the second quarter and the third quarter. Having said that, we're clearly taking a fairly long-term view of the business and what I'm particularly pleased that is when you look at the sources of growth and I won't break them down numerically, but if you look at what's coming from our Coke Zero Sugar Free relaunch, that's a sustainable initiative. If you look at what's coming through from price mix due to raise (32:15) that's sustainable, because it's in the marketplace. If you look at what's coming through on our energy portfolio and on some of the other brands like smartwater that again is sustainable. And if I break it down even further and look at what we're doing to drive points of distribution and execution in store, that's sustainable. So, we are pleased with what we're doing to drive growth with or without weather and that will remain our focus. So, we haven't got into kind of allocating cases against each of those. That would make the call very long. But, we're still focused on doing the right things and we believe obviously that will support our guidance for the full year and set the business up for 2018. And I think that it's critically important that we take the opportunity now to continue to look at the longer-term opportunities in Western Europe from a value creation perspective. So, now a bit of momentum also gives you a chance to look at that and prepare the business for 2018 and that's what we will be doing in the second half of the year.
Manik H. Jhangiani - Coca-Cola European Partners Plc: And, Ali, I'd just like to keep reminding you that keep in mind our growth in the first half was supported by those one-off factors that we've just talked about. We were also cycling being down 1.5% for the first half last year. And we have 3.5% growth in the second half of next – of last year to cycle through. So, all those factors are very important that you keep in mind as well. So, when you look at our full year guidance, clearly, what we have pulled through is the beat in the second quarter, and we've kind of maintained what we had originally anticipated in the second half of the year.
Damian Paul Gammell - Coca-Cola European Partners Plc: And just the final (34:01) Ali, I mean as you are aware, I mean July, August are still critical months in our industry in Western Europe. And I think the approach Nik outlined there, I think is the right one given the size of those two months. And then obviously once we get through the third quarter, we'll have a much stronger position on the full year, so that was also factored into our guidance.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Okay. Okay. No, it's helpful for the discussion. It still feels a little bit conservative I guess, even with the different comparison and really because all the sustainability, all the other factors that you've driven, whether it be Coke Zero Sugar, et cetera, to drive the sustainability. But okay. The second question I had is just, you mentioned you recently anniversaried a year, looks like things are going really well. How ready is the organization kind of workflow-wise or appetite-wise to integrate more territories at this point? Or do you think there is still more digesting that needs to go on?
Damian Paul Gammell - Coca-Cola European Partners Plc: No, I think obviously, we talked earlier about the pre-work that we did in the months leading up to the creation of CCEP and the operating model that we've set up to run CCEP which is a business unit focused operating model. Clearly, that in itself allows additional territories if and when they became available to be integrated quite seamlessly into our business. So, from a system's perspective and an operating model perspective, we don't see any issue. From a balance sheet perspective, we certainly don't see any issue. We believe our free cash flow generation, our leverage, would allow us to do an acquisition if it's a right acquisition. And from a leadership management capability, again, we feel quite confident that we have the right people in the right roles and that would also allow us to take on more opportunities if they arise. So, clearly, we're focused on managing what we have, because that's what's going to deliver shareholder value in the short and medium-term, but that would not prevent us from taking on more opportunity obviously subject to it being the right opportunity. So as I said from a capability, from a financial perspective and from an operating perspective, that's been in our mind as we created CCEP, so we feel quite prepared for that as I said if and when it arose.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Okay. Thanks very much.
Operator: Thank you. Our next question comes from Judy Hong with Goldman Sachs. You may begin.
Judy E. Hong - Goldman Sachs & Co.: Thank you. Hi, everyone.
Manik H. Jhangiani - Coca-Cola European Partners Plc: Hi, Judy.
Damian Paul Gammell - Coca-Cola European Partners Plc: Hi, Judy.
Judy E. Hong - Goldman Sachs & Co.: So, Damian, I guess, I just wanted to get your perspective or your assessment of how the still brands are performing within your portfolio? Clearly, the sparkling brand being up 4%, seems pretty positive, still brands are outperforming sparkling, but kind of in the context of your shift to become more of a total beverage company, or you and The Coca-Cola Company, it seems like you can get a lot faster growth out of like water and tea and et cetera, so maybe just give us kind of your assessment of what's happening now, what you think you want to see, to really accelerate that shift and accelerate the growth of some of these brands
Damian Paul Gammell - Coca-Cola European Partners Plc: Yes, obviously, our stated intent with The Coke Company, as you mentioned, Judy, is to build out a broader portfolio of brands, particularly in the areas of tea, energy, value-added water, I'd kind of cautioned around the value piece in the water statement. And I think we're pleased with the progress we've made in 2017 relative to our plans. We have been very much focused on expansion with a view to delivering value. So, pretty much all of our still's initiatives have been focused on single-serve, immediate consumption. So, that in itself, from a volume perspective, obviously, plays a role in the size of it and from a revenue perspective, and a management perspective, it's obviously a better strategy. So, we'll continue to prioritize packs and brands that we believe can generate sustainable profitability for the business. Having said that, we are also taking the opportunity with The Coke Company, I just alluded it to (38:26) bit of what Nik talked about to kind of challenge ourselves on where can we go faster in the second half of the year and prepare the groundwork for 2018. And as we've talked about before, we see a step-up in our tea platform coming in 2018. We've piloted and are now rolling out Honest across the business and we've seen our Capri-Sun business return to very nice growth. We are expanding smartwater. So, a lot of those initiatives are coming as we kind of close out 2017 and into 2018, Judy. So, I think we're ahead of where we thought we'd be, whether that is far enough ahead, I think is a good question and how do we get there faster I think is a challenge that we've raised ourselves with The Coke Company. It certainly helps what James stated (39:15) total beverage perspective, because that gives I suppose the whole system in Western Europe more impetus to ask those questions and that's what we're doing. So, the one caveat, I'd add, particularly on water, that will probably remain quite a focus player on brands where we can create value like smartwater, more premium brands like Chaudfontaine and VIO in Germany and we could still do a better job on those brands to be honest on value creation and less around some of the bulk water, that still makes up 70% to 80% of the market in Western Europe. So we're excited about the brand innovations. I mean there is some more that we can share, probably a bit more clarity on as we move into Q4 and we look forward to updating you on some of the new initiatives that are going to come in 2018, but pleased where we are. But absolutely agree there is a lot more we can do in Western Europe in that space.
Judy E. Hong - Goldman Sachs & Co.: Okay. That's helpful. Just a quick follow-up, Nik, just on the free cash flow for the year going up to the high end, that's all really would be operating profit coming up on top line and are there sort of other initiatives that you are focused on to get that up because obviously that's been a pretty clear key focus of you?
Manik H. Jhangiani - Coca-Cola European Partners Plc: Yes, I would say largely driven by better top line and enhanced (40:37) operating income and then a clear focus on both the cash costs to achieve our synergies which obviously we've left unchanged for the total program right now as well as continuing to challenge ourselves on the CapEx spend. But I'd say largely coming from top line. And then, we are very much intact in terms of what we've been focused on from a working capital perspective.
Judy E. Hong - Goldman Sachs & Co.: Understood. Okay. Thank you.
Operator: Thank you. Our next question comes from Mark Swartzberg with Stifel. You may begin.
Mark David Swartzberg - Stifel, Nicolaus & Co., Inc.: Oh, thanks. Good afternoon, everyone. I guess, two-part question for you, Damian, and second part for you, Nik, both relating to Great Britain and the tax. We've got a little color and helpful to hear your response there, Damian. Can you give us a little more color on market readiness so to speak for price increase on the portion of your volume that will continue to have high fructose corn syrup or other things that are considered sugar? And by market readiness, what I'm trying to get a gauge on is, and I'm also certainly considering your experience in France several years ago, whether it's right to think some channels are more tolerant of a completely offsetting price increase than others, and whether you're planning assumption is that (41:57) and others will be taking price increases that are equal to the incremental tax?
Damian Paul Gammell - Coca-Cola European Partners Plc: Thanks, Mark. Well, I suppose just this data from a pricing perspective is that, it's at the remit (42:12) of the customer to kind of set the pricing. So, our view is being that it's clearly the intent of the government that the price would be passed on to the end consumer, and (42:26) from our perspective, that's the planning assumption we're making is that the tax would be passed on, but ultimately that's up to the customers, but certainly that's what we would expect to happen from the conversations that we've had. Within that, I think you raised a good point, I mean we benefit in our business from having quite a diverse channel mix and a lot of our volume outside of big retail, and given the nature of the tax, obviously the pricing impact will be higher in retail, because the share prices are lower. So, the percentage increase to consumer will be higher. That will be somewhat diluted as you move into other channels like eating and drinking, food on the go, convenience, et cetera, and as you move into smaller packs, there is a less impact, but still an impact. So we're clearly looking us at (43:22) by pack, by channel, how do we make it easier for our customers and our consumers to deal with the tax? So, that's one thing we're very focused on. And for example, for private label, et cetera, if they pass on all the tax, obviously the percentage increase is even higher for them. So, that's another interesting dynamic to see it how that plays out (43:46). We're also very much focused on reformulating pretty much all of our brands, except Coke Classic and Monster out of the tax. Because we've taken the opportunity with The Coke Company's reformulate, so that will increase the percentage of our brands and that will not fall into the tax and I think that's a good thing to do anyway. So we're doing that and obviously as I have referenced before, we are looking that across other markets as well. So, I think both of those initiatives leave us well prepared for the tax in April next year and we still have a number of months to challenge those plans, to share them with our customers, to look at how we make them stronger and we'll do that. And clearly the reformulation piece was the priority and I'm very pleased and it's been great collaboration with The Coke Company that we could move so quickly to get that done. And now we are really focused on some of the elements you talked about, Mark, around more pack, channel strategies and as you probably move into 2018, they'd become more apparent obviously it's (44:50) so we can't talk about it publicly, but that's how we are seeing it overall at the moment.
Mark David Swartzberg - Stifel, Nicolaus & Co., Inc.: That's super.
Manik H. Jhangiani - Coca-Cola European Partners Plc: And, Mark, just to be clear, we don't use any HFCS in our products here and one other point I would make, France was an excise tax that was across the board. This is a sugar tax and that came very quickly and in GB we've had over two years that we've been planning for this too, so I think we are doing the right things as Damian has just outlined to you.
Mark David Swartzberg - Stifel, Nicolaus & Co., Inc.: Well, it's great. And then thank you both of you. If I could follow up, Nik, I know this is unconventional to ask about next year, but it's not unconventional to ask about next year, before you're ready to talk about it, but I will ask nonetheless and simply ask you the question. Is there any reason for you to think you can't achieve your long-term algorithm, given the soft drink tax, particularly in GB and of course in some other markets?
Manik H. Jhangiani - Coca-Cola European Partners Plc: So, I will use the unconventional card and say, yes, you can ask, but I'm not answering, because it's unconventional for me to answer this, early in the year about next year. So, we'll provide you more color on that in due course, Mark.
Mark David Swartzberg - Stifel, Nicolaus & Co., Inc.: Fair enough. Well played.
Damian Paul Gammell - Coca-Cola European Partners Plc: (46:05).
Mark David Swartzberg - Stifel, Nicolaus & Co., Inc.: Thank you, guys.
Damian Paul Gammell - Coca-Cola European Partners Plc: Thanks.
Operator: Thank you. Our next question is a follow-up from Lauren Lieberman with Barclays. You may begin.
Lauren Rae Lieberman - Barclays Capital, Inc.: Oh, thank you. (46:18) on CapEx. So, even with the guidance you revised down was at (46:24), midpoint of the range. You still imply pretty big step-up in CapEx spending in the back half. So, could you just share a little bit what that's on? Is it related to where the synergy spending will be as a timing of that, or is it cold drink equipment...
Manik H. Jhangiani - Coca-Cola European Partners Plc: No. It's actually not cold drink for the most part, because we try and load (46:47) that to get the benefit of that into the season. So, I think it is partly the synergy capture piece in terms of where we spend that, because remember, that €100 million is still pretty much intact. So, it's just some of the timing of that. And then we do have some new lines et cetera that we're planned for, that is just a timing of those. So, those are the two main factors.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay.
Damian Paul Gammell - Coca-Cola European Partners Plc: Yes. A number of the packaging initiatives that we're planning in 2018 obviously requires some, not significant, but some investment on some of our lines to run different pack sizes and some backend changes. So, we've been working with our supply chain team to try and get them in to 2017, so we can hit the ground running in 2018. So that's a bit of the factor as well.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay, great. And since I have you, I did notice that both in the prepared remarks and in the press release, smartwater would not be called out as one of the stronger performers in the water portfolio. I was just curious why, if there is any sort of softening in that business or is it just a matter of the absolute size of it in the entire portfolio?
Damian Paul Gammell - Coca-Cola European Partners Plc: No. Smartwater continues to do well, so certainly if it wasn't, it could have been and we've certainly expanded it now into sparkling in GB and we're looking at that for the markets. So, we continue to be pleased with our smartwater performance and it's grown extremely well both in the first, second quarter, so, yes, there was nothing behind that at all, Lauren.
Lauren Rae Lieberman - Barclays Capital, Inc.: All right, great. Thank you so much.
Manik H. Jhangiani - Coca-Cola European Partners Plc: (48:23) make sure that he is chastised for that.
Damian Paul Gammell - Coca-Cola European Partners Plc: Yes, that's right.
Manik H. Jhangiani - Coca-Cola European Partners Plc: But, it grew high single digits in the first half of the year and I think we also introduced new variants with the sparkling and the flavored. So, now all going well.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay, perfect. Thank you.
Damian Paul Gammell - Coca-Cola European Partners Plc: And we're actually looking at more capacity behind that brand. So, we're very confident about it.
Operator: Thank you. Our next question comes from Andrew Holland with Société Générale. You may begin.
Andrew Holland - Société Générale SA (UK): Yes, hi. Can I just take you back to your earlier answer about the proportion of your business in the UK that is going to be captured by the sugar tax? Did I hear right that you're saying that that currently, the sugar-free is over 40% or is that the sugar added that is over 40%?
Manik H. Jhangiani - Coca-Cola European Partners Plc: The sugar added is over 40%. Damian clarified and said that about 60% of our portfolio with our reformulations would fall under the tax threshold. So, about 40% which is essentially Coke Red and Monster Green would fall into the tax band.
Andrew Holland - Société Générale SA (UK): Okay. And that 60% that avoids it, what is that figure now? In other words, what is the size of the task to get there?
Damian Paul Gammell - Coca-Cola European Partners Plc: We're on track to get there. I mean we've seen even last year, if you look at some of the Nielsen data, it's got close to 50% already in retail. So we're pretty pleased with our progress to make sure we hit that 60%-40% split.
Andrew Holland - Société Générale SA (UK): Okay. And obviously, so I was just going to say the Zero Sugar version is an important part of that that's obviously doing very well in the UK. Can you give us an idea of what proportion of total cola is Zero Sugar in the UK and maybe an idea or a way you think that could stabilize?
Damian Paul Gammell - Coca-Cola European Partners Plc: Well, we haven't called out any specific targets for the mix, but if you look at the category in total, you're seeing the growth in cola for the last number of years and GB being led by sugar-free. We started contributing more to that to be honest, Stephen, in the last – or, Andrew, in the last 12 months, we were behind that trend a little bit as you know. So our Coke Zero Sugar Free has definitely put us back in and we're gaining share within that segment. So we would expect that to continue from a volume perspective. And we also believe that over time on the revenue side, we can still generate revenue on the Coke Classic side of our business through smaller packaging and innovation because we do see a lot of consumers who really enjoy the taste and love that brand. So, while we are very much focused now in sugar-free in the context of coming into 2018, (51:21) in my release, we're also seeing revenue growth in Coke Classic in the quarter, which is also encouraging. So, haven't set a target, but clearly that 60%-40% is on the way and (51:31) we're going to get there. All things being equal, you'd expect that over time to continue to grow, but we haven't put out though, where we think it will get to, we just want to make sure we capture most of that growth and that's our priority at the moment.
Manik H. Jhangiani - Coca-Cola European Partners Plc: And, Andrew, on Trademark Coke, we're currently about 55% Red or Classic and then 45%, which is Diet and Zero. So, it's roughly a half-and-half split. And then obviously in flavors, that's where you have a lot of the reformulation happening that would take it below the threshold for sugar tax?
Andrew Holland - Société Générale SA (UK): Okay. And just longer-term on Diet Coke and I must say from what I see around the UK, nobody is drinking that stuff. Does that have a long-term future?
Damian Paul Gammell - Coca-Cola European Partners Plc: Absolutely, I need to find that where you're going in the UK.
Manik H. Jhangiani - Coca-Cola European Partners Plc: (52:25) we need to have more availability of Zero.
Damian Paul Gammell - Coca-Cola European Partners Plc: Yes. So, I mean Diet Coke has an extremely loyal consumer base in the UK and Coke Light on the continent. So, we certainly believe that having a dual brand strategy in such a large segment of the market makes sense. It continues to do well. You will see more focus going forward behind Coke Light and Diet Coke that's something that we've looked at in terms of can we do more with that brand. And that's something that we've taken on with The Coke Company. So you'll see a bit more coming from Diet Coke going forward, but certainly it's still a big part of our business with a lot of loyal consumers and we feel encouraged that having both Coke Zero Sugar Free and Diet Coke in that segment is a good strategy for CCEP.
Manik H. Jhangiani - Coca-Cola European Partners Plc: Yes. And again just to be clear, it actually grew modestly in the first half of the year too, Diet Coke.
Andrew Holland - Société Générale SA (UK): Okay. Thank you.
Operator: Thank you. Our next question comes from Ali Dibadj with Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Hey, guys. Just want to go back to gross margins for a second if I could. So, totally understand still expanding the less favorable than you thought originally. I want to understand a little bit more kind of why, why the outlook of price per unit case versus COGS per unit case, why that gap kind of is less wide than you thought it was? Is it kind of retailer pushback, is it competition, is it kind of timing of the year when you could take pricing? I get the concept that COGS is going to be higher on a per unit basis. But, I just want to understand why you can't pass that through? Thanks.
Manik H. Jhangiani - Coca-Cola European Partners Plc: Look, simple answer. It's more just the timing. Remember, as we go into the year, you have assumptions and you go in with your price negotiations with your retailers. One, obviously, as we have seen some better revenue realization that has an impact on our concentrate and so we don't go back to our retailers to try and renegotiate some of that or reposition our pricing. And then also we always had some open positions, from a raw material perspective, PET in particular and then there was some on aluminum and we've seen pressure on both of those versus what our initial assumptions were. So, I think, it's more just timing than anything else.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Okay, great. Thank you.
Damian Paul Gammell - Coca-Cola European Partners Plc: So, thank you, Ali. That was the last question on today's call. So, just as we close, first of all, on behalf of Nik, Thor and I, we'd like to thank you again for taking the time to join us today. So, one year into our journey, we clearly remain pleased with the progress we've made and we've enjoyed a very good start to 2017. We remain confident in delivering the improved guidance that we've shared with you today for the remainder of 2017. And, critically, we remain focused on delivering long-term sustainable shareholder value through expanding our portfolio, as we've shared with you today, with The Coca-Cola Company and other partners to improving our ongoing marketplace execution through our sales force, delivering the synergy commitments that we've outlined as part of the creation of CCEP. A strong and very clear focus around free cash flow generation and I'm also very pleased that we're continuing to evolve our culture at CCEP into one that will allow us to unlock what still remains a lot of opportunity in Western Europe for long-term shareholder value creation, throughout 2017 and into 2018 and beyond. So, we look forward to talking to you again after our third quarter results and sharing with you an update on our exciting journey at CCEP. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference. Thanks for your participation. Have a wonderful day.